Beth Baum: Thank you, Dennis. Good morning, everyone, and thank you for joining us today to discuss Weyerhaeuser’s first quarter 2018 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Doyle Simons, Chief Executive Officer; and Russell Hagen, Chief Financial Officer. I will now turn the call over to Doyle Simons.
Doyle Simons: Thank you, Beth and welcome everyone. This morning Weyerhaeuser reported first quarter net earnings of $269 million or $0.35 per diluted share on net sales of $1.9 billion. First quarter results include net after-tax charges of $6 million for special items. Excluding special items, we earned $275 million or $0.36 per diluted share. This is an improvement of 18% compared with the fourth quarter and 65% higher than a year ago. I’m extremely pleased with our first quarter performance as we fully capitalize on strong lumber, OSB and Western log markets to drive outstanding results including the highest first quarter wood product EBITDA on record. Adjusted EBITDA for the company totaled $544 million, 20% more than a year ago and comparable to fourth quarter. Before I discuss our business results in more detail, let me make a few comments regarding the housing market. The housing market continues to grow at a healthy rate. Total housing starts for the first quarter average 1.32 million units on a seasonally adjusted annual basis the highest quarterly average since the second quarter of 2007. This is particularly notable given that a challenging winter delayed the start of the building season and a portion of the eastern United States. Year-to-date, total housing starts have improved 8% compared with a year ago and single family starts are up 7%. Permit activity is also healthy with total permits averaging over 1.3 million for the first quarter. Activity in the West has been particularly strong including in California where permit activity has increased 47% through February compared with a year ago. Builder confidence is high and our customers are reporting a strong start to the spring selling season supported by continued employment growth, rising wages, historically strong consumer confidence and growing participation by the millennial home buyer. The consistent optimism we hear from our customers reinforces our confidence that the housing market is well positioned to manage labor and lot challenges and build on it solid upward trajectory. For 2018, we continue to expect approximately 1.3 million total housing starts with single family start up nearly 10%. Let me now turn to our business segments. I will begin the discussion with Timberlands Charts 4 to 6. Timberlands contributed $189 million to earnings before special items, $23 million more than the fourth quarter and $41 million more than a year ago. Adjusted EBITDA increased to $268 million. Western Timberlands delivered $165 million of first quarter EBITDA, $25 million more than the fourth quarter and $32 million more than a year ago. Western domestic market conditions were favorable throughout the quarter as strong lumber prices drove solid demand for logs. Mill inventory levels were moderate in most regions although log supply in southern Oregon remained tight due to continue winter weather. Pricing for domestic logs strengthen through the quarter. The harvest volume decline slightly compared with the fourth quarter, which had included fire season catch up volume. Forestry expenses were seasonally lower. Turning to our export markets. In Japan, log sales volumes and realizations improved nicely compared with the fourth quarter. Demand for our logs remained very solid as our customer sales volumes are strong. Compared with the year ago quarter sales volumes were slightly higher and realizations improved substantially. In China average realizations were flat compared with fourth quarter, while sales volumes decline modestly as construction activity paused seasonally for the Lunar New Year. Log inventories at Chinese ports increased during the Lunar New Year period but take away bounce back sharply if construction activity resumed and we anticipate inventories were returned to normal levels over the next several months. Overall, Chinese demand for our logs remains very solid and our volumes and realizations are substantially higher than a year ago. Moving to the South. Southern Timberlands contributed $98 million to first quarter EBITDA comparable to the fourth quarter despite a seasonal decline in the harvest volume. The harvest declined 8% compared with fourth quarter but it increased 6% from the first quarter of last year. Challenging wet weather in several regions created market opportunities in the quarter as operability was limited and mill inventory decline below the target levels. Our teams did an exceptional job of leveraging our significant scale to flex volume take advantage of available harvest settings and increase deliveries to key customers while simultaneously ensuring adequate log decks at our own mills. For example, on one weekend a team in the Gulf South delivered over 200 truckloads of logs to one of our lumber mills while continuing to fulfill commitments to all other customers. Average sales realizations for southern sawlog and pulpwood increase slightly compared with the fourth quarter. Our per unit harvest and hauling costs decreased modestly as we flex to more accessible harvest settings and forestry costs declined due to wet weather. Northern timberlands contributed $6 million to EBITDA, $3 million less than the fourth quarter. The harvest volumes declined seasonally and average realizations were comparable to the fourth quarter. The Timberlands business is making good progress against this 2018 operational excellence initiative and is on track to achieve it’s $40 million to $50 million OpEx target for 2018. Our teams continue to generate and implement ideas to improve the productivity of harvesting and hauling operations, reduce the road maintenance and construction cost, optimize spending on forestry activities and ensure we maximize the revenue from every log we harvest. Real estate, energy and natural resources, Charts 7 and 8. Real Estate & ENR contributed $25 million to first quarter earnings and $41 million to adjusted EBITDA. Adjusted EBITDA was $46 million lower than the fourth quarter but comparable to a year ago. Fourth quarter is typically our seasonally strongest quarter while first quarter usually reflects the lowest level of transaction activity. Average price per acre sold increased compared with the fourth quarter due to mix. Over half of the acre sold in first quarter of 2018 was located in Montana, where Timberland prices are regionally lower. In contrast the majority of sales in the fourth quarter and the first quarter of 2017 were located in the U.S. South. EBITDA from energy and natural resources declined slightly compared with fourth quarter due to seasonally lower sales of construction materials. The real estate business is well positioned to meet or exceed its 30% targeted premium to timber value for 2018. Wood products, Charts 9 and 10, wood products contributed $250 million to first quarter earnings before special items, $29 million more than the fourth quarter and $78 million more than a year ago. Adjusted EBITDA totaled $286 million, this is the highest first quarter EBITDA own record for this business and an improvement of nearly 40% compared with the year ago. Canadian rail transportation remained a challenge throughout the quarter and our Wood Products team did an outstanding job of devising creative ways to mitigate the disruptions about repositioning, available rail cars and shifting volume to trucks. Although the overall effect on our first quarter results was relatively minimal we did experience some shipment delays resulting in lower sales volumes for lumber and OSB compared with a year ago. EBITDA for lumber totaled $140 million, $24 million more than the fourth quarter and over 40% more than a year ago. Lumber pricing rose steadily during the first quarter as demand remained very solid. Channel inventories were low and transportation delays limited availability. Compared with the fourth quarter our average sales realizations improved 7% and sales volumes increased 3%. This was partially offset by higher Western oil cost. First quarter adjusted EBITDA for lumber includes charges of $5 million for countervailing and anti-dumping duties on Canadian softwood lumber. The duties are calculated based on the final combined rate of 20.23% and are no longer reported as a special item. OSB contributed $92 million to EBITDA, $12 million lower than the fourth quarter but 40% more than a year ago. Compared with the fourth quarter a 6% decline in average sales realizations was partially offset by a 6% increase in sales volumes. Engineered wood products contributed $45 million to EBITDA and $11 million more than the fourth quarter and $8 million more than a year ago. Average sales realizations improved 1% to 2% compared with the fourth quarter as we began to capture the benefit of our first quarter price increase. Sales volumes for solid section products improved due to seasonally higher demand but I-joist volumes declined as East Coast sales lagged due to winter weather. Manufacturing costs decreased due to lower prices for oriented strand board. Distribution contributed $15 million to first quarter EBITDA, the best quarter results ever reported for this business. EBITDA improved $10 million compared with the fourth quarter and $7 million more – and $7 million compared with a year ago. This business continues to focus on managing cost and product margins. Fourth quarter Wood Products results include one special item, a pretax benefit of $20 million from product remediation insurance proceeds. Each of the Wood Products businesses made good progress on their respective OpEx initiatives during the quarter, with teams focused on reducing controllable costs, improving mill reliability, enhancing product margins and maximizing the benefit of focused capital investments. We continue to expect collective OpEx benefits of $40 million to $60 million from this segment in 2018. I will now turn it over to Russell to discuss some financial items and our second quarter outlook. Russell Hagen Thank you, Doyle, and good morning. The outlook for the second quarter is presented in Chart 13 of the earnings slides. In our Timberlands business, we’re expecting second quarter earnings and adjusted EBITDA will be significantly higher than second quarter of last year but approximately $25 million lower than the first quarter due to normal seasonality. In our Western Timberland operations, we expect second quarter fee harvest volumes will be comparable to the first quarter. We anticipate slightly higher log sales realizations will be more than offset by seasonally higher unit logging costs and increased road and forestry costs. Log and haul costs will increase due to the planned shift of harvest activity to higher elevations in the spring months. Western road costs are expected to be higher than the first quarter due to additional road Zbuilding activities, which is typical in the second quarter. Japanese export log sales realizations are expected to be comparable to the first quarter while sales volumes are expected to decline modestly due to the timing of shipments during the second quarter. We are seeing continued steady demand from our Japanese customers. Chinese export log volumes are expected to increase in the second quarter as construction activity has picked back up, following the February holidays. We anticipate average sales realizations will decrease slightly compared with the first quarter. In the South, we anticipate second quarter average sales realizations and fee harvest volumes will be comparable to the first quarter. Per unit log and haul costs are expected to be higher in the second quarter due to additional thinning activities and increased fuel and trucking costs. Silviculture spending in the South is expected to increase, which is typical coming into the spring season. In the North, we anticipate second quarter harvest volumes will be significantly lower than the first quarter due to spring break-up. Average sales realizations are expected to increase modestly compared to the first quarter. Real Estate and Energy and Natural Resources earnings and adjusted EBITDA for the second quarter are expected to be comparable with the first quarter. As is typical for the Real Estate business, the summer and fall months are the most active selling seasons, with the largest portion of sales closing in the fourth quarter. We continue to expect approximately $250 million of adjusted EBITDA from our Real Estate and Energy and Natural Resources business in 2018. First quarter land bases, as a percentage of real estate sales, was slightly lower than our full year guidance of 40% to 50% due to the mix of acres sold. We continue to expect that land bases, as a percentage of real estate sales, will be between 40% and 50% for the full year 2018. For Wood Products, we anticipate second quarter earnings and adjusted EBITDA will be significantly higher than the first quarter earnings before special items. Sales volumes are expected to increase quarter-over-quarter for all product lines. We expect slightly higher average sales realizations for lumber and significantly higher sales realizations for OSB, partially offset by higher Western log cost. Engineered wood products sales realizations will also be higher as we continue to capture the 6% to 12% price increase we announced early in the first quarter. Operating rates are expected to improve in the second quarter with a seasonal increase in demand. Overall, we expect adjusted EBITDA for our Wood Products segment to improve approximately 15% to 20% compared to the first quarter if lumber and OSB pricing remain at or near current levels for the balance of this quarter. Looking forward, we expect to take maintenance downtime in the third quarter at our Grayling OSB mill as we undertake a scheduled press replacement. As a result of this extended outage, we currently expect our third quarter OSB sales volumes will be approximately 10% lower than the third quarter of 2017. Chart 11 outlines the major components of our unallocated items. Adjusted EBITDA decreased compared with the fourth quarter due to the higher non-cash charges for elimination of intercompany profit in inventory and LIFO. This was primarily driven by increasing values for softwood lumber and Western logs and seasonally higher inventory volumes. As stated in our prior earnings call, our pension and post-retirement benefit costs increased in the first quarter. We continue to expect to record approximately $100 million of non-cash, non-operating pension and post-retirement expense for the full year 2018. First quarter unallocated items also included a pretax special charge of $28 million for environmental remediation associated with a formally owned mill site. Chart 12, summarizes our key financial items. We ended the quarter with a cash balance of $598 million. Cash from operations from the first quarter was $136 million. The first quarter is usually our lowest operating cash flow quarter due to inventory and other working capital build as well as the timing of semiannual interest payments. Capital expenditures for the first quarter totaled $81 million. We continue to expect total CapEx will be approximately $420 million, $300 million for Wood Products and $120 million for Timberlands. Moving on to debt. We ended the quarter with approximately $5.9 billion of debt outstanding. We repaid $62 million maturity during the quarter using available cash and we have no remaining maturities in 2018. Interest expense was $93 million in the first quarter. We expect interest expense of approximately $380 million for the full year. Moving on to taxes. We continue to expect our 2018 effective tax rate to be between 11% and 13% based on the forecasted mix of our earnings. Now I’ll turn the call back to Doyle, and I look forward to your questions.
Doyle Simons: Thank you, Russell. First quarter was an outstanding quarter for Weyerhaeuser, and we have much more opportunity ahead. With a strong housing market trajectory, favorable market dynamics across our Timberlands and Wood Products businesses and a culture focused on operational excellence, we have the tools and runway to further improve on these strong financial results. Looking forward, we are relentlessly focused on capturing the full benefit of the opportunities in front of us in 2018 and beyond to drive as much value as possible for our shareholders. And now I’d like to open the floor for questions.
Operator: [Operator Instructions] And your first question is from the line of Anthony Pettinari with Citi. Please go ahead.
Anthony Pettinari: Good morning.
Doyle Simons: Good morning, Anthony.
Anthony Pettinari: From a big picture perspective, you’re generating record cash from the Wood Products business and leverage seems fairly conservative to hear. I’m wondering if you could just share how you’re thinking about capital allocation at this point? And with regards specifically to maybe acquiring timberlands, how would you weigh opportunities that maybe you’re seeing in the South versus maybe just repurchasing your own shares? You still have, I think, $0.5 billion roughly on the share repurchase authorization.
Doyle Simons: Anthony, good question. And our financial priorities remain unchanged, first and foremost. We’re committed to returning cash to shareholders. As we continue to capitalize on very favorable market conditions and our OpEx improvements, we’re expecting strong cash flow generation for 2018. Our board will continue to regularly view opportunities to return cash to shareholders and this may come in the form of a increased dividend or as you pointed out, opportunistic share repurchases as appropriate. And we do have $500 million of authorization. Secondly, we’ll continue to invest in our businesses. As you know, we’re going to invest roughly $420 million back into our businesses this year. And then in addition, we’ll look at growth opportunities going forward, primarily in Timberland but we’ll be very disciplined in terms of growth opportunities as we move forward to make sure any acquisition that we may make would be value accretive for our shareholders. And then finally, our balance sheet, as you know, is in really good shape. So that’s kind of how we think about capital allocation.
Anthony Pettinari: Okay. That’s helpful. And then just a clarification on the 2Q outlook. I think you’re expecting higher average sales realizations for lumber and OSB. I know that you have maybe a little bit of lag with Random Lengths. Do you expect with kind of lumber and OSB prices in 2Q could maybe stay roughly in the same range that they are where they are currently here at the end of April? Or do you think those spot prices might decline or step down a little bit in 2Q as some of these kind of weather and transportation issues resolve themselves?
Russell Hagen: Yes. So let me answer that in a couple of ways. Number one, just to give you a sense, as you said, there is a lag and as prices have moved up, it takes some time to catch up. Number two, just to give you a sense of where we are currently, quarter-to-date in lumber pricing, we’re up roughly $10 versus the first quarter average and quarter-to-date in OSB, we’re up roughly $40. As we look out, we continue to be encouraged by what we see in the markets. Fundamentally, the improvement in pricing and the markets overall is being driven by continued growth and demand, which is being driven by the improvement in housing and thin inventories across the system. In the first quarter, we all know we had some transportation issues. It’s going to take a while, a couple of quarters, for those to fully resolve in the industry. And as that additional capacity comes online, our additional inventory comes online, is going to be coming online in a period which is a stronger building season. We did have some disruptions on the demand side during the first quarter due to weather. Those should be behind us and we’ll be moving into a stronger building season. So as we factor all that in, we’re pretty optimistic about prices for lumber and OSB as we move through the balance of the year.
Anthony Pettinari: Okay. That’s very helpful. I’ll turn it over.
Operator: Your next question is from the line of George Staphos with Bank of America Merrill Lynch. Please go ahead.
George Staphos: Hi, everyone. Good morning. Couple or three questions and thanks for all the details. I guess, the first question, Doyle, obviously, it sounds like weather and transportation impacted the volume trends that you otherwise would have seen in the first quarter. Is there a way to put a number, an approximate one, in terms of what your shipments would have looked like if you had a more normal, both logistics and weather environment, in the first quarter, recognizing it’s wintertime every time in the first quarter? But what do you think you might have lost in terms of volume trends in the quarter?
Doyle Simons: Yes, let me – rather than answering it in volume trends, let me try to answer it in terms of dollar impact on the quarter, George. And our best guess – and as you indicated, there’s lots of moving parts, but our best guess is that weather had a roughly $5 million – and I’m talking about our Wood Products group, had a roughly $5 million negative impact in the first quarter. And that the transportation challenges, specifically rail in Canada, had a $5 million impact. So the total of those two things is probably a $10 million – roughly a $10 million impact on our first quarter versus what you would call a more normal first quarter, if there is such a thing.
George Staphos: Okay. Appreciate that Doyle. Second question, obviously, you have a couple of projects coming to maturation over the next year or so with Dierks and Millport. What ability do you have within your system as it’s currently constructed, in other words, no new, no steel and concrete? But given what you have right now to tweak your capacity, where would you have more flexibility whether it be in lumber – that’s where I’d guess, but waiting on your answer, or OSB or wherever, should demand continue to, hopefully, it’s a high-class problem, materialize positively.
Doyle Simons: Yes, great question. And you’re right, the biggest opportunity is in lumber. We will have both Dierks and Millport coming online as we move to late this year and in early next year. Those will increase our capacity by roughly 6%. And then on top of that, George, just through ongoing capital and just running better, we think we can increase our capacity by another 2% to 3% on top of that 6% that’s going to come from Millport and Dierks. So that’s our biggest opportunity on the volume side as we move forward.
George Staphos: Okay. And just for clarification, 2% to 3% is an annual figure or that’s total over the rest of the cycle?
Doyle Simons: Now thank you for the clarification. That is an annual figure, 2% to 3%.
George Staphos: I’ll turn it over, I’ll come back with an additional question later. Thank you.
Doyle Simons: Thank you.
Operator: Your next question is from the line of Brian Maguire with Goldman Sachs. Please go ahead.
Brian Maguire: Good morning everyone.
Doyle Simons: Good morning, Brian.
Brian Maguire: My first question, just looking at Chart 5, I’m sort of struck by the huge gap between Western and Southern log prices. And it’s always been a big gap, but we’ve opened up to about $100 a ton difference. Just I know they’re sort of different markets to a large degree. But I just wondered if there’s – if you’ve ever seen a gap this wide before, and if there’s ever – if there’s really a point where you or others could look to arbitrage that? I mean, I know shipping costs overland are prohibited, but just also thinking about the export market and some of the opportunities you’re trying to create out of the South, just wondering if the super wide gap that’s opened up could potentially just change some of the thinking behind what a Western market is and what a Southern market is.
Doyle Simons: Brian, so you’re right, there is a large gap. We’ve been very encouraged by what’s happened in the West and think there is additional opportunity as we move forward. In terms of arbitrage for the reasons you identified, very difficult because of the high cost of trucking logs from one portion of the United States to another. I think more likely what’s going to happen is you’re going to see that gap close as Southern log prices start to move in. And as we think about Southern log prices, Brian, we’re actually encouraged by what we see in the South, and we are starting to see some very early signs of pricing improvement in markets. If you say, well, what are the key drivers of that? Number one, continued growth in demand, and you heard what we had to say about our optimism about housing. Number two is the declining share of – declining Canadian share of the U.S. market. That’s 26% year-to-date versus 30% last year. Third and very importantly is all the new Wood Products capacity that’s coming online. Specifically, the 4-plus billion board feet of capacity additions that are coming online 2017 to 2020. Just to give you a sense, that’s 20% of Southern capacity. And as that new capacity comes online, we expect to see those specific wood baskets tension and put upward pressure on sawlog pricing overall. And in fact, we’re already starting to see that in a couple of areas with new capacity. One is in Central Mississippi, where the new Beuren mill is up and running and prices have moved up over there. And then secondly, even in markets where the capacity isn’t up and running yet, but it’s been announced, for example, the Warrenton, Augusta, Georgia area, the new mill announcements by GP and Canfor have already caused that wood basket to tension. And then the final thing, which is regarding your comment on the Southern export markets, we are making really good progress in developing our export business out of the Southern U.S. We’re already running an export program on the Atlantic Coast out of Charleston and Wilmington, and we’re also working to establish a new program out of the Gulf South, which we expect to have up and running in a few months. We expect to triple the size of our export program in 2018, which we did – try to mention that, would be comparable to a midsized sawmill. And we think there is meaningful potential for significant additional upside in both China and India going forward. So that’s how we think about the South. And to your original question, we think that gap will close over time as a result of improving Southern log prices.
Brian Maguire: And just related to that, the exports that you are starting to see out of the South, are the realizations there comparable to Southern realizations? Or are you seeing any signs of a little bit better pricing because it’s the export market? You’re recognizing that your shipping costs are going to be higher obviously. But netting that against the shipping costs, will the netbacks to the mill on exports be comparable to other Southern sales that you you’ve got?
Doyle Simons: What I would say is, to date, they’re comparable to a little bit better.
Brian Maguire: Okay. Just one last one from me on just the Timberland markets themselves. It seems like – recently, some others have written about transaction activity being really slow, really – starting maybe in the second half of 2017 continuing into 2018. Just wondering if you’re seeing that also as you bring some parcels to land – some land parcels to market. And any sense what could break that logjam? Is it prices that need to move lower or do people need to feel a bit better about the housing markets or interest rates? Just any color you can give on that would be helpful.
Russell Hagen: Sure, Brian. This is Russell. I’m going to break it into two pieces. One, I think you’re asking a little bit about our Real Estate program. That’s definitely a different market than the Timberlands, the broader Timberland market. So just on Real Estate on the first quarter, it was comparable to last quarter. Second quarter should be comparable to first quarter, and then we’ll start seeing activity pick up as people get into the marketplace. And then we’ll see a majority of that closings in the fourth quarter. And that’s pretty typical for the Real Estate business. On the Timberland side, it has been a slow first quarter, and that’s pretty typical also. We would expect that the transaction volume for 2018 will be comparable to 2017. We are seeing fewer transactions or fewer offerings in the market kind of in the beginning. But I think that will start loosening up as some of the TIMOs start bringing some of their properties out of some of the funds that are terminating or coming to full life. But overall, we think the market should pick up in the second half of the year.
Brian Maguire: Okay. I appreciate the color. Thanks.
Operator: Your next question is from the line of Gail Glazerman with Roe Equity Research. Please go ahead.
Gail Glazerman: Hey Good morning. I guess, I just wanted to dig into the lumber and OSB markets a little bit more and the impact, just maybe psychological impact of some of the supply shortages. I guess, one, can you just give a little more color on where inventories started the year on both the producer and the customer side and where you think they are currently? And just any – maybe a little bit more color, you did try to lay out the argument as to why maybe things won’t get worse. But as that – as those inventories do clear from Western Canada, how confident are you that the market will be able to absorb it without kind of easing off some of that panic that was in the market earlier?
Doyle Simons: Yes. So as you look at inventories, Gail, other than the build and mills in Canada, inventories throughout the system remain very lean, both for lumber and OSB. In terms of the – those inventories at the mills becoming available, I would tell you all indications are that’s going to take some time. Seeing railway is hiring more people, putting in new cars, but they’ve indicated it’s not going to be until the third quarter until that actually starts to make an impact. So I think that additional inventory that’s at the mills is going to come online over time, not in one big chunk. And it’s going to come online at a time, as I said, where we’re going to need more because if we’re going to be in the seasonally strong period when we have winter weather behind us and there will be more building activity.
Gail Glazerman: Okay. And then just switching gears. Realize you have the $20 million insurance recovery in the quarter. There was a headline earlier in the week that kind of suggests that maybe you’re having some issues. And could you just give an update on where – about a court case kind of seeking $260 million. Can you just put some color on that and where you stand?
Doyle Simons: Yes, the court case – all it was, was there was a filing to clarify venue for any disputes that may arise regarding coverage. We’re pleased with the progress we’ve made. We’ve recovered $20 million in the first quarter, another $5 million so far in the second quarter. And we remain confident that we will recover a significant portion of the costs associated with Flak Jacket ultimately.
Gail Glazerman: Okay. Just one last one. Obviously, somewhat of a moot point, given the delivery issues in the quarter. But just your latest thinking and what you’re hearing on the trade dispute and how that fits into current NAFTA negotiations.
Doyle Simons: Say that again, Gail. I’m not sure I followed your question.
Gail Glazerman: Just your current thinking on the softwood lumber trade dispute and where that may or may not be impacted relative to current NAFTA negotiations.
Doyle Simons: Yes, good question. So the SLA negotiations have been sidelined due to the focus on NAFTA. The two are not, as you know, directly linked, but there have not been ongoing discussions. Bottom line is we remain hopeful that, over time, we will be able to reach a quota-based agreement.
Gail Glazerman: Okay. Thank you.
Doyle Simons: Thank you.
Operator: Your next question is from the line of Chip Dillon with Vertical Research. Please go ahead.
Salvator Tiano: Hi, guys. This is Salvator Tiano filling in for Chip. How are you?
Doyle Simons: Good. How are you doing this morning?
Salvator Tiano: Great. So a couple of questions. Number one, just clarify, to dig a little bit deeper into George’s earlier question. On OSB and lumber sales, you mentioned I think a $10 million combined hit, but how should we be thinking in terms of what can be recovered in the second quarter? Is there anything that’s just been pushed there and we can see even stronger volumes? Or is this also higher expense-related and there’s nothing you can do about it anymore?
Doyle Simons: Well, if it’s product that was made that we weren’t able to ship for whatever reason, that could show up in the second quarter. If it was weather-related and we weren’t able to make it, which was – we did have some downshifts in the – primarily in the Southern U.S. during the first quarter, not able to make that up. So I would say it’s a combination of both.
Salvator Tiano: Can you provide kind of any clarification with regard to – out of this $10 million, what can be recovered? Or is it something you cannot comment?
Doyle Simons: I would say a portion of it will be recovered in the second quarter. Not able to quantify that exactly.
Salvator Tiano: Okay. Understood. And the second big picture question here. Just wanted to get your thinking now that we’re seeing indeed more lumber mills coming via South. What do you think will be required to start seeing higher timber prices there in terms of perhaps additional projects, the inventory – kind of the log inventory clearing? What is your thinking towards moving to higher prices on a more sustainable basis?
Doyle Simons: Yes. As we said earlier, we’re encouraged by what we are seeing in the South. A key driver of that is the additional capacity that is coming online. The additional amounts, roughly 4-plus billion board feet, which is 20% add in the South, that’s – we’re encouraged by that. That, combined with the increase in the Southern export market, less lumber coming in from Canada and just, very importantly, the overall improvement in demand driven by housing growing at 7%, 8%, 9%, all are positive things that are going to result in us reaching that point where – the inflection point where we will start to see improvement in southern log prices. And as I mentioned earlier, we’ve already started to see some slight improvement in some select markets where additional capacity has either come online or decided to come online.
Salvator Tiano: Perfect. Thank you very much.
Doyle Simons: Thank you.
Operator: Your next question is from the line of Collin Mings with Raymond James. Please go ahead.
Collin Mings: Hey, good morning.
Doyle Simons: Good morning, Collin.
Russell Hagen: Good morning, Collin.
Collin Mings: First question. Doyle, you touched on this already on the – really the Canadian side of things, but you guys were pretty successful delivering results in 1Q despite some of the cost pressures out there. Can you maybe just talk a little bit more about the trucking and labor cost pressures? You discussed that in detail a little bit last quarter. How are those kind of looking as you go into 2Q now?
Doyle Simons: Yes. So from a trucking perspective, truck availability continues to be challenging across the U.S. and Canada. We expect, as we indicated in the – in our earlier call, that we expect these challenges to persist. And trucking rates are, in fact, increasing somewhere in the 5% to 8% range, but we are working really hard to mitigate those cost increases through OpEx. And then in terms of labor, that’s just going to be a constant headwind. But again, a lot of work that’s going on there to make sure that we’re all setting that through OpEx. And then the final thing I would highlight is things like resin costs are going to be a headwind as well. But we’ll work to either – both to primarily to reduce our usage of resin to the extent we can and other ways to offset that cost pressure.
Collin Mings: Okay. And then just switching to the Real Estate front. I mean, you noted in the past that there have been some maybe government funding issues that was keeping a lid on sales activity, to some extent, on the Real Estate side. Any change or any sense that, that is changing on the margin at all? Or again, do you expect that to kind of be a headwind relative to maybe what adjusted EBITDA from that segment would have been otherwise?
Russell Hagen: Collin, this is Russell. You’re correct, the federal budget include $200 million for conservation funding. That’s a real positive. But those types of transactions take a little bit of time to form up, and so we would expect to see the benefit of that coming in really in 2019. As far as our outlook for 2018, as we stated, we still – we expect to hit the $250 million of EBITDA for the Real Estate and Energy and Natural Resources business. And meet our premium targets of 30%.
Collin Mings: All right. That’s it from me. Congrats on the quarters guys.
Russell Hagen: Thanks, Collin.
Operator: Your next question is from the line of Mark Wilde with BMO Capital Markets. Please go ahead.
Mark Wilde: Good morning, Doyle. Good morning, Russell.
Doyle Simons: Good morning, Mark.
Russell Hagen: Good morning, Mark.
Mark Wilde: I want to just start out by you saying that I think this Wood Products performance is pretty impressive. Because if you look back the last time you were running like this was in the mid-2000s and we had much higher housing starts and the Weyerhaeuser footprint was much bigger in Wood Products.
Doyle Simons: Thank you for saying that Mark. Our folks have done a lot of really hard work to get to where we are today. More to do, but appreciate that acknowledgment.
Mark Wilde: Yes. I wondered, Doyle, you’ve talked for the last three or four years about this goal of kind of black at the bottom. Where would you say you are on that metric right now? We know they’re not going to always be great.
Doyle Simons: They’re not always going to be great and that’s the way we’re running our company and, specifically, the Wood Products group. We’ve made a lot of progress in that front. And basically, just remind everybody what we’ve done is gone back and recreated the results that were during the last recession. Hopefully, we never go back to those. But making sure that we have a cost structure in place that if we do go back to that – that type of situation, that we would be generating positive cash flow. Very encouraged by the progress we’ve made there as a result of the OpEx work. We were roughly 90% there at the end of 2017 and anticipate being 100% of the way to being black at the bottom by the end of 2018. So a lot of really good work, a lot of good progress on that. And Mark, you’re right. We know things won’t stay this way forever, but the beauty of the work we’ve done, it allows us to fully capitalize on the upside, but also, when this thing does roll over, which we know it ultimately will, we will be in a cash flow positive position on a go-forward basis.
Mark Wilde: Okay. And then I noted, Doyle, in response to an earlier question about acquisitions, you said that, primarily, you would be focusing on Timberland but you didn’t say exclusively. If you were going to do things in building products, can you just give us some sense of what’s your criteria would be?
Doyle Simons: Sure, Mark. So we’ll – like I said, we will be focused primarily on Timberland. But we do think there may be opportunities for what I would call more bolt-on acquisitions in Wood Products that some of the key criteria would be if it fit into our wood basket, that would be a positive. But even more than that, it would be making sure that we were acquiring a mill or a set of mills at a price where we could generate long-term value for our shareholders on a go-forward basis. So we’ll continue to actively look for those type of bolt-on acquisitions. Most assets, I think, are pretty fairly valued right now from a Wood Products perspective, but we’ll continue to look but be disciplined in acquisition opportunities on our Wood Products side.
Mark Wilde: Okay. Last question I had is for either you or Russell. I’m just trying to get a sense. Given this big move we’ve had in the West Coast log prices, whether that is really starting to constrain some of the domestic converters, whether the log price is just too high for them to carry at this point, whether it’s for plywood or lumber or whatever.
Doyle Simons: Mark, because of the run-up in lumber prices, in plywood, but more specifically in lumber prices, even at these higher Western log costs, lumber mills – I think most lumber mills are profitable. I know ours are. So that margin is still there to be had based on current log prices and current lumber prices on the West Coast.
Mark Wilde: Okay. Fairly good. I’ll turn it over. Thanks, Doyle.
Operator: Your next question is from the line of Steve Chercover with D.A. Davidson. Please go ahead.
Steve Chercover: Thanks. Good morning, everyone.
Russell Hagen: Good morning.
Steve Chercover: So first off, we’ve been hearing about new sawmill capacity coming on stream in the South for some time, but it sounds like the ramp is slower than anticipated. And it sounds like some of the equipment deliveries are behind schedule. So maybe you can confirm that, and is it impacting any of your projects?
Doyle Simons: So not impacting our projects at all. As I indicated, Dierks will be up later this year and Millport early next year, and we are on schedule on both of those projects. In terms of the overall increase in sawmill capacity, we anticipate that that’s going to be 4-plus billion. We anticipate the timing of that is roughly 1 billion a year, 2017 to 2020. Clearly, a some of that is – been pushed back a little bit because of the lack of contractor availability. But it will – our sense is while it is being delayed somewhat because of the competition for contractors, it’s ultimately going to come online but maybe pushed back temporarily.
Steve Chercover: Got it. And then my second question was on the work at Grayling. I want to clarify, first of all, is it a press rebuild because I thought you said replacement? So which is it and will you gain any capacity?
Russell Hagen: So Steve, this is Russell. It is a press replacement. And as far as the capacity, the capacity will be about the same as prior. So this is just an old press and it’s time to replace it, and it will make the mill much more cost-effective as we go forward.
Steve Chercover: Got it. And could you just remind us, I missed it, the financial production impact in Q3?
Russell Hagen: About 10% is what we said on the sales volume in Q3 compared to prior – the prior year.
Steve Chercover: Great. Thanks Russell. Thank you both.
Russell Hagen: You bet.
Operator: Your next question is from the line of Mark Weintraub with Buckingham Research. Please go ahead.
Mark Weintraub: Thank you. Doyle, so you are mentioning about 1 billion a year in lumber, I think, in the U.S. South, which I guess is not that much. If we think about a 50 billion-plus market, that’s only 2% or so. Now is there also incremental capacity that you think is also going to be coming on in addition to that? And/or what would be happening in some of the other regions? And might there actually even be even possible offsets in Western Canada, for instance?
Doyle Simons: Yes, it’s a good question, Mark. So what I would say is the way we’re thinking about these numbers is, it is a 20% – the 4-plus billion board feet is a 20% increase in Southern capacity. But if you look across the entire system, it’s much more like a 5% increase across the entire industry. As you further indicated, we don’t anticipate much, if any, additional increase in the West. And in fact, we think there will be shrinking capacity in Canada. So net-net, while there is a lot of capacity coming on in the South, we think, from a supply and demand perspective for lumber, that’s going to continue to be very good as we look forward. As you know, operating rates are already north of 90%. If you look at the numbers, demand is growing 7%, 8% a year. And this additional supply, if you look at it from an overall industry perspective, not just the South but overall industry perspective, it’s growing about 5% a year. So demand, we think, is going to continue to outpace supply, which should be positive as we move forward.
Mark Weintraub: And so following up, it’s very encouraging to hear some pricing power in some of those markets in the U.S. South saw timber. I guess, one of the toughest things, for me at least, to try to figure out is when things get good, where can U.S. saw timber prices go? I mean, I know where they went historically. But what would be the – what are – what’s the kind of framework that maybe would be helpful in thinking through where U.S. saw timber prices could potentially go in tighter markets?
Doyle Simons: Yes. So if you look at it historically, prior to the recession, Southern sawlog prices were $15, $20 higher than they are today. So I don’t think there’s any reason at all that as these things tighten up, and they will as we indicated, that you could see that type of pricing improvement. If you use the West as a market or as a reference point, there’s even more opportunity in front of that, especially as we start to develop these export markets. So if things really get humming domestically because of all the additional capacity that’s coming online, you’re going to have less coming in from Canada as we talked about, and then you have an export market on top of that. You can paint a scenario that could be pretty good for Southern sawlog prices in the future.
Mark Weintraub: Thanks. That’s exactly where I was trying to go. So you do use the West, are you willing to hazard an estimate to what that would mean for U.S. Southern sawlog prices could go to be at kind of equivalent basis?
Doyle Simons: Yes, I haven’t done that exact math, Mark. But Southern – in the West, sawlog prices recovered fairly quickly after the recession to where they were before. And they’ve gone up significantly past that level in the West. And again, with all the key drivers that I just outlined, I don’t see any reason that you couldn’t see over time the same type of improvement in the South that we’ve seen in the West over the past few years.
Mark Weintraub: Great. Thanks very much.
Doyle Simons: Thank you.
Operator: Your next question is from the line of Mark Connelly with Stephens. Please go ahead.
Mark Connelly: Thanks. How much impact do you think the freight issues are having on lumber prices? Because there’s so many supply challenges in the past year, that’s hard to keep track of what’s going on, on the supply side.
Doyle Simons: Yes, Mark, I think fundamentally, what’s happening on lumber and OSB is you just have continued growth in demand, coupled with a balance on the supply side of the equation, which is shown in the lean inventories throughout the system. Now there’s no doubt that some of these temporary disruptions like freight are having a temporary impact. But I would say yes, we had freight disruptions or challenges in the first quarter, but we also had – on the supply side, but we also had weather challenges on the demand side. So as we think about it long term, we’re optimistic because, again, it’s ultimately lean inventories throughout the system, coupled with where we are in terms of the demand side of the equation. So that’s kind of how we think about it. We’re going to continue to have these one-off situations that happen. But as long as inventories continue to be at low levels and we continue to have growth in demand, which we anticipate because of what’s happening on the housing front, we’re pretty optimistic about pricing going forward.
Mark Connelly: Okay. That’s helpful. A question on Timberlands, do you think that the geographic mix of the EBITDA you’re generating that we saw this quarter and last quarter is going to persist? I mean, obviously, log prices are up in the West. But is there something structural happening in mix or volume that we should be thinking about between the South and the West?
Russell Hagen: So are you referring to Real Estate sales or…
Mark Connelly: No, I’m thinking about Timberland, the overall realizations that you’re getting there, not the Real Estate side.
Doyle Simons: So Mark, I’d say there’s nothing structural that’s changing there. As you know, we’ve seen much more pricing improvement in the West than we have in the South over the past few quarters. But in terms of structurally, nothing that should change significantly in that mix of earnings going forward.
Mark Connelly: So no significant gains in silviculture or anything like that in the South relative to the West?
Doyle Simons: There are gains in silviculture, for example, on – in both. As we’ve indicated, longer term, there will be – from a harvest level perspective, the West will be coming down or did come down – will be coming down this year, whereas the South in the near term will be going up. But other than that, no structural changes.
Mark Connelly: That’s helpful. Thanks, Doyle.
Doyle Simons: You bet.
Operator: Your next question is from the line of Paul Quinn with RBC Capital Markets. Please go ahead.
Paul Quinn: Yes. Thanks very much. I just wanted to understand the criteria around the black at the bottom phrase and the testing that you’ve done. What’s sort of log, lumber, OSB price matrices?
Doyle Simons: Paul, good question. Basically, what we did is we went back and looked at what those prices were back in the depths of the recession and said, okay, if we go back to that type of situation, what type of cost structure do we need in our Wood Products system to be black at the bottom? So that’s the work that we’ve done to model what – where we needed to be. Hopefully, again, we don’t go back to a recession as deep as the one we saw back in 2008, 2009, but that’s the way we modeled it.
Paul Quinn: So there’s been quite a bit of investment in – across a number of OSB as well as lumber mills that would suggest that the cost curve, it didn’t push down. Do you expect that those recessionary conditions are going to be the next – similar to the next recession? Or is it – there’s a whole bunch of mills out there that haven’t had a lot of investment and those marginal mills will come off and that’ll be the bottom?
Doyle Simons: Yes. And we’ll have to see how that plays out. But I think you highlighted exactly what we’re focused on, is making sure that when the next recession happens, and we all know it will, that our mills are well positioned. There will be other mills in the industry that would – have not focused on cost or capital has not been spent in where they will absolutely not be black at the bottom and will be well positioned to continue to run during the next downturn.
Paul Quinn: All right. Fair enough, good results. Thanks guys.
Doyle Simons: Thank you.
Doyle Simons: So as I understand it, that is our last question. I would like to thank everybody for being on the call this morning and, as always, for your interest in Weyerhaeuser.
Operator: Ladies and gentlemen, thank you for joining today’s call. You may now disconnect.